Operator: Good day, and welcome to the review of VGP's Financial Results over Full Year 2023. My name is Kevin and I will be your coordinator for today's event. Please note this conference is being recorded and for the duration of the call, your line will be on listen-only. However, you will have the opportunity to ask questions. [Operator Instructions] I will now hand the call over to Jan Van Geet, CEO. Please go ahead.
Jan Van Geet: Good morning, everybody, and welcome to our webcast, in which we will give you some more details on our full year 2023 financial results. Before I start, I wanted to say when it comes to real estate location is everything and you have to remember that real estate development is in many ways very equal to the job of my ancestors. You first have to sow before you can harvest and that is what we did in 2023. I'll first take you to the 2023 highlights. Let me just move on with the presentation. You see a building in Erfurt, which we are now going to transfer into our new joint ventures from Zeitfracht. And the highlights of 2023, first of all we had a very strong operational performance, which was supported by a very dynamic leasing activity with a significant share of light industrial segment. While we delivered many buildings in the logistic activity last year, 57% of our new leases are related to light industrial activity and I will give some more detail later in the call. We report a profit before tax of €112.7 million, which results in a net profit of €87.3 million despite some devaluations in our portfolio and that's a €3.20 per share profit. We have a nice evolution in our joint venture strategy with two new joint venture partners, which we're very happy with and that resulted in strong net cash recycling, the activities which we did over the last year of €676 million, which is an absolute record. We never recycled more than last year. We acquired 1.93 million square meters of land of which many iconic land plots also one in the vicinity of Paris and Frankfurt, which we bought from Stellantis for a total of €212.4 million. And as of today actually we now have the money in our account. We sold our 50% stake in the Logistics Park, Moerdijk for €170 million where we owned 50% of 700,000 square meters of development land which was ready to be developed. We are sure that we have a solid balance sheet with over €400 million of undrawn credit facilities available. We have a €150 million new 10-year financing facility, which we just closed with the European Investment Bank and we expect at least €525 million to be recycled in 2024 out of the joint venture closings, which are all planned at fixed pricing and which should happen this year once the buildings are finished and delivered. We also have a nice recognition for our ESG efforts which includes a four-star GRESB developer rating, the second highest among peers in the European logistics segment. For myself I think we are number one, because the one who is now in place number one, you have to look for it is somebody who have never actually developed a building. They just bought it from developers, so no more comments. I will go on to the summary of the financial results. We report a steady growth of our total portfolio value. We have now €7.2 billion of assets under management. We continue to have very strong growth in committed annualized rental income. It grew almost 16% year-on-year to €350.8 million at year end. We had a very good start this year so far, a flying start and we signed already many new leases. Our EBITDA increased significantly due to property development gains. And of course the income growth, which is ever more -- the income growth is ever more important, the rental income growth, the renewable income growth but also the growth out of our asset management fees, which is obviously growing very quick with a steady growth of our portfolio value and the new joint ventures, which we are creating. And therefore, we have the intention to propose to our general shareholders' meeting, a distribution of a gross dividend of €3.70 per share, which is including an extraordinary dividend of €0.75, which is on the back of the closings we did last year. We recycled €626 million of cash out of the closings in the JVs. I will go first maybe to a small market update, how we experience the market. There is a lot of demand drivers in the market now, which are different than the years before, but they are creating a lot of opportunity. We signed last year more than €69 million of new and renewed lease agreements, which is equivalent to more than 900,000 square meters of lettable area. And that is mainly thanks to safeguarding strategy against supply chain disruption which we see. We see many people rethink their logistics chains. We have a lot of new manufacturing. We signed with a very big producer for example, a new lease agreement just after year end to build a big battery factory, a big one. And we see many new factories coming onboard also onshoring. There is an upgrade through new built and retrofitted stock, mainly driven by ESG features people who want more energy-efficient and more new standards of buildings. And ecommerce, which was completely away this year, we only signed 1% of our new lease agreements equate to e-commerce. We have the feeling that it's going to start to return soon. We see more and more demand, more and more conversations with them and we have the feeling that ecommerce expansion will return soon. We expect no later than 2025, to see a pickup again in our rental activity. When we go to the space under construction across Europe, speaking about the market now, we see a very big slowdown in speculative developments, which elevates the built to suit over the pre-let share. And we have last year in comparison to the market in 2022 and in the beginning of 2023, I have chosen to stop completely speculative development because of the fierce inflation which we encountered on the market. Meanwhile now, we see a very sharp decline in construction prices and we still have very nice rental prices. So VGP has decided that it's going to be a little bit more aggressive in the market. The total market is -- there is a lot of developments, which have happened in this highest price category. And when we are now coming with new buildings, we can be very competitive and very aggressive and still have very nice development yields. Hence, we are at the moment at six months after we started up which is a measure, which we measure, how much we have pre-let and we are at almost 85%. Taking into account what we have signed in the first two months, we are over 85% of pre-let. It's officially 77% at the end of the year. You see the speculative construction declines in the market and 42% in the market -- in the total market in Europe at this moment is vacant, in comparison to us where we are at now I think over 85%. The vacancies are growing in most of the countries, but they're still very low. We are below 5% still. The higher vacancy rates put nonprime space at a disadvantage of course. We are 99%, let. I said it in the beginning, real estate and especially also industrial real estate, it's all about location, location and location. It's the name of our magazine. Prime space will always float above all the other sites I think. The suitable space remains very limited, and I think that the market is still going strong, but I think there will still be an increase in vacancies going further. No harm for us. I feel very comfortable about VGP going forward in all of its markets. On the operational performance side, and I go to the leasing activities. I always run, a little bit ahead in my presentation. I already said too much. But for the full year 2023, our committed rental income including the joint ventures at 100% increased by 16% year-on-year. So, we signed and renewed leases in the amount of €69.5 million in the full year. We have 529 tenant contracts with 370 tenants. That's also a reflection of the fact that many tenants have multiple buildings, over multiple jurisdictions with us so they really like to follow us. We have the committed annualized leases now amount to €351 million, out of which if we look at a look-through basis I will go to it in detail later on €240 million is to us. The occupancy rate of our completed portfolio is 99% and what is vacant is really in transition. We never have anything which is long-term vacant. Then my brother likes to make bridges how we come from one place to another. So you can see the committed annualized leases in the beginning of the year were standing at €303.2 million. We signed €44.4 million of new leases. We indexed €10.3 million and there were terminations of €7.2 million which over the course will be replaced by replacement leases. So the committed annualized leases at the end of the year stand at €350.8 million. If we go to the majority of new contracts signed within, as I already said to you most of them are in the light industrial segment 57%. Ecommerce as you can see only 1% and logistics is 40%. I have some examples. In Brasov, we are constructing for INTER CARS. It's a very large stock exchange quoted company out of Poland. We have Apollo Tyres Metro for example. I'm sure there are some names which you know DACHSER and of course also Opel from which we bought their site in Russelsheim and which signed with us partly long-term lease and partly a sale and leaseback which allows us in the meantime to get the necessary permits. They do the sale and leaseback for three years which generates a lot of income. We can in the meantime get our permits ready to redevelop the site. If you look to the portfolio itself I think it's important to take a look at it. The weighted average lease term stands at 7.9 years which remains still very high. The risk is also very well spread over the years. And in this year we have already looked at the profile of lease agreements which come to maturity which should renew. And we have virtually 99% of all of lease agreements already agreed that they are going to renew. Our top 10 tenants represent 32% of committed leases and they have a combined WAULT of 10.3 years. And as you see it's a nice spread by industry segments ecommerce like industrial logistics they are well balanced. And I think the ecommerce will start growing again from next year on. We're really blue-chip tenants and we're very happy to have them and to be able to work together with them. They have lend us a lot over the years. Another bridge. So we try to also look at our effective rental income. Note we are in the first place a development company but as you know underneath it's also a ever-growing REIT if you want to call it that way which is structured to various joint ventures and assets on our own balance sheet. So we started the year with €238.2 million of activated rental income meaning we handed over the building and the people are effectively paying rent. We activated new leases during the full year of €66.1 million, meaning we handed over the building and the people started paying rent. Of course it's proportional to when it was handed over. So that takes it up to €304.3 million, out of which €80.8 million sits in our own portfolio and €223.5 million sits in the joint venture. And then we signed also leases which are still under construction and which will be delivered this year which are €46.5 million. They are all due to be delivered this year or the majority the big majority. So we at the moment as soon as they will be delivered that equates to €350.8 million of rental income, out of which €240 million on a proportional basis comes to VGP. So if you look at our share of 50% in the joint ventures plus what we have on our own balance sheet that is €240 million on a proportional basis. Growing fast. The net rental and renewable energy income and share has grown also thanks to that year on year with 45% and we expect EUR 155 million of net rental and renewable energy income and we expect continuous growth as a result of the deliveries in 2023 and 2024 going forward. That's how we look at it. Our portfolio is virtually let on a long-term basis. So if you look at the joint ventures they're standing at 7.3 years. Our own portfolio stands at 8.9 years. We signed many lease agreements also in the industrial side with people who invest long term in our buildings a lot of money and they are able to sign long-term leases. That's what compensates also the time going forward. And combined we are at 7.9 years until the WALT and until first break it's 7.5 years. And if you look at the top 10 customers, when we signed KraussMaffei in 2019, they were 22.5% of our total portfolio. Meanwhile, we've grown so fast that KraussMaffei still it's the same rent it's indexed, but all the others also is now only 7.95%. And with the business plan which we have in front of us, it will decrease even quicker going down I think. All of them have multiple buildings inside of our group. KraussMaffei is on three sites in eight buildings, Amazon is five or six buildings, Zalando is three buildings, Ahold Delhaize Group is on three sites with us, Opel is in many buildings on the site, Drylock Technologies is four different buildings, BMW sits in various buildings in Munich, we have Siemens and MediaMarkt is the only one which is one building which we have in Gottingen. All the others are spread across. So even if it is 10 biggest customers, they still are spread across many buildings. On the delivery side, we delivered last year 24 buildings 641,000 square meters and they were fully let. Everything was let. And they are all rated BREEAM Very Good. Actually, the biggest part of it is BREEAM Excellent. Meanwhile we also have one Platinum building now in Germany for which we are the first developer which has a Platinum building and still own it. The other two are industrial companies which are from the three which did it for themselves. You can see Germany is the biggest part of deliveries in 2023. But being a very good European, I'm a very big believer in the European market and it's spread all over the geographies which we are active in. You will also see it in our land bank. It's very well spread. And the pictures which you see the right the one in the middle it's our VGP Park Giessen am Alten Flughafen where in the front you see the building of Rhenus and UPS and in the back you see the huge building of Zalando in which they invested a lot of money in infra logistics and they are gradually taking into operation now. And on the left, you see the main headquarters of both DPD and DHL in Portugal in Loures right next to the airport of Lisbon, which is a very nice development which we did last year and delivered successfully. The largest share of new developments delivered as I already told before was in logistics. I have some examples. You can see the tenant segmentation and the buildings on the bottom you see. It's the first year where Eastern European countries have done better in leasing activity than the western European countries 2023, also thanks to a lot of shift to industrial activity, of course. But you see our big park in Brasov, where we're currently constructing for INTER CARS. And you see our park in Bratislava, which is really right behind. It's a top location right next to the highway where we are now building for Apollo Tyres, a very big car tire manufacturer. Our portfolio share has grown originally at an annual compounded growth rate of 26.2% and we aim to continue that trend. We have big growth plans. So yeah, I don't think there is any -- so now it is €4.8 billion of total investment property which is accumulated aggregated growth over the last eight years of 26.2%. Geographically, well diversified and predominantly income generating. That's maybe important to say. So out of the €7.2 billion which we have in the investment portfolio in total, which is up 12% year-on-year, 53% equates to Germany and Western Europe represents 75% of the total portfolio in value as of December 2023. The completed assets form €5.5 billion. Out of that under construction is €711 million at the end of the year. And we had development land of €759 million which was 13%. But as you know, I already said it, we sold our 50% stake in LPM Moerdijk for €172 million, which actually is a nice profit, but you have to deduct it from the development land at our balance sheet. On the development side, I'm just going to list through my -- on the development side, the current portfolio under construction represents €52 million of new leases ones fully let. So at the year-end 26 buildings were under construction. We're going to start up quite a lot of buildings this year. Many of them are pre-let, but we're not afraid to start a little bit more also speculatively, because of the very good construction prices, which we have. The portfolio under construction was 77.3% let at a year end. And when you look at longer than six months, because when we start off speculatively it takes a while before you have the construction standing, et cetera then it's 84.3% at year end. Western Europe represents 55.2%. Inside of that, we're very confident on our development pipeline going forward. We have really top locations and we have a lot of demand. We register a lot of demand in the market. So, yes, we will see. And as I said, I'm a good European. It's very well spread over our geographical footprint. And we see a lot of activity also in countries like Spain, Romania. In Slovakia, we have new demands. Italy is now going to sign today a very big lease 50,000 square meters, I hope. And then Luxembourg, Austria, Vienna, it's right next to Vienna, which you see on the right side, which is already virtually it's 66% pre-let, and we are negotiating with the rest. It's really very well spread over all of our countries. If you look at the land bank, so the land bank expanded quite significantly. And I think that last year, we've really invested. In 2022, I couldn't make any number work. There were so many people buying out land for crazy prices. In 2023, we were suddenly the only ones left on the market or one of the very few. Some of my colleagues have also done some deals. But we bought really very nice new land plots. We acquired 1.9 million square meters which is -- and after the year end we still acquired some new land plots also. I will go a little bit through the details afterwards. And if we again look at the bridge, which Piet made then we see that at the beginning of the year we had 8 million of land owned. We deployed 1.3 million square meters. We acquired 1.9 million square meters of which a big chunk is income generating. It's brownfield income generating so it auto finances itself partly. Then we have committed land for which we wait until we get the permits of 795,000 square meters and we sold 720,000 square meters. Many of you will ask me, why did you sell LPM? Well, I want to tell it once more. We bought last year 1.9 million square meters for €212 million. And I just sold 50% in a 70 hectare so 720,000 square meter stake for €171.4 million. So I think mathematically, it's already explained with this. We just think there is more opportunity going forward in other things. We still believe very much in the Dutch market. But this was just for us the opportunity to recycle it and go into things which we think are quicker to develop and have a higher margin. So we always look very pragmatic at our portfolio going forward. There is almost 4 million square meters of development potential embedded in the total land bank. And we are on the outlook for new opportunities in the market. The land bank is also geographically very well diversified across countries. France is starting to become an important player now. It's already 7%. That was at the year end because we bought Mulhouse at the year end, which is another 20 hectares in France. And also Denmark where we did our first land acquisitions is now present. It sits in the others here. But we're going to sign our first pre-let very soon now. We are in final negotiations with a good customer. So we think that on our land bank, we think it's really prime located, and we think we can offer really attractive propositions to our customers. I have some examples. Our VGP Park in Vejle. This is Denmark, where we last year bought the big buildings, which you can see the three in the middle and the two on the right side. And this year we bought the small part in the front where now there is designed office buildings on it. But obviously we are not an office building developer. That was the former idea. We are now going to also develop it as light industrial and last mile activity inside of Vejle. We have Leipzig in Flughafen, which is a very big development. 50 hectares land on surface for which we did the B plan and then we bought it last year. We are going to start developing it now. It lies right adjacent to the airport, so that's why it says Flughafen. It's really a top location and we have quite some interest for it. We already developed one building there. We bought of course Russelsheim part of the Opel facility, which is there since 1860. Opel is again a company, which is doing very well. We are redeveloping. We are taking a look at it and it's a big part of this total site which you see which has excellent connection to the highway. And it's literally 10 minutes away. You can actually see underneath of the VGP logo. You can see the airport of Frankfurt. So it's really the connection is fantastic. The labor force availability is fantastic. We have our own access by train. There is a train station in the middle of the land plot, so employees but also goods are easy to get here. And we have our own harbor on the main river, which can also be used. It's trimodal. It's fantastic located. We have a lot of energy. So, also for data center development it's a fantastic location. We're really looking forward to develop this quickly and efficiently in the next years to come. We also bought in Vélizy, which is 14 km away from the Eiffel Tower. I don't think you can get a lot closer to the real center of Paris. It's right next to the military airport in Velizy. We have a lot of interest already. We are starting the demolition now. You can see our plan on the top in which there is -- you can't see it like this but there is a couple of buildings in two levels which we are going to construct now. Also, you see it's very close to airport Paris Orly but it's also, as I said, only 14 kilometers away from the city center of Paris, so it's ideal for a business park. And for the parking lot, which is now -- there is a huge parking lot on which we can't construct also. That's the green area. We can rent that very easily out now for charging facilities, because it's so well connected. And I'm sure our VGP Renewable Energy will do something with it going forward. On the renewable side, I come to the end of my story for a while. I'm going to hand over to Martijn, who is going to talk you through our renewables and ESG achievements. Martijn.
Martijn Vlutters: Yes. So, first on the renewables. We have generated over the last year €4.4 million of gross revenues, which is compared to last year down. But what you have to take into account is that the energy price has come down significantly. The energy price at which we've sold, our energy last year is in line with broader markets at around €94 per megawatt hour whilst in 2022, which was an anomaly in that respect due to the geopolitical events in Ukraine at €230. Actually what has allowed us to stay at €4.4 million is the fact that we've increased our overall production from 26 gigawatt hours in 2022 to 44 gigawatt hours in 2023. And if you look at where we are today in terms of our overall startup of operational solar capacity, we are already at 1.1. And there's more being delivered. If you look at the December 2023 production, we would already be able to achieve an 85 gigawatt hours production over the course of 2024. So you see that the growth rate that we've had over the last two years, we are currently still maintaining. There's 69 megawatt peak under construction. Now we say here that during the first four months approximately half of that is expected to go into the grid. The connection to grid is always subject to the cooperation of the grid managers, and hence that's something where our faith is a little bit in the hand of those grid operators. But this proportion is coming up really quickly. And then further on, there's another 100 megawatt peak that we're currently designing and that's under review. So with that, you see that the photovoltaic production is coming up very strongly. I'll come back later on the fact that we are actually producing more renewable energy than our electricity consumption of our tenants combined, which is in the ESG update. But first, back to Jan on the joint ventures.
Jan Van Geet: Yes, on the joint ventures, there is a lot of news to bring to you. So, we have a record year of transactions which led to €676 million of net cash recycled. You have to understand, we are not a REIT. We are always transferring assets from our balance sheet into the joint ventures, which has an influence on a lot of matrices. But this year the net cash proceeds were EUR 676 million. And as you can see, over all the years where we did it, that's an absolute record. And it allows us to be a little bit less dependent on the very volatile, at the moment, capital market, because we can still auto finance ourselves through these transactions. And also for this year, we are expecting more than €800 million of cash, which we will partly finance and recycle. So if you look at the year end, we recycled over €1 billion of net cash since the start of 2022. So for us, this model really works very well, and we want to stick to it and continue to expand it. We also added some new joint venture partners, and I welcome them very much, which enhance the solidity of the cash recycling model. And they're not the smallest names. We really are very proud to be able to announce or we were very proud, when we announced it already in the past, our partnership with Deka. Together with them, we have now five strategically located parks in Germany. That's Giessen, the Zalando which you saw before, Laatzen where we have the Platinum building, which we developed together with two other buildings, that's Gottingen and Swei, where we have two buildings, which is the very big one for MediaMarkt that's one of them. Then we have Magdeburg, which is a combination of a lot of buildings, where, amongst others, actually you see it on the left side of the picture, that's Magdeburg, where we have many big operations, amongst others, CATL, the battery producer. We also have the Bundeswehr there, and many other tenants. And then we have Berlin Oberkramer, where they go, where also Amazon is one of the tenants and Rieck Logistik is one of the tenants. It's a total portfolio of 20 buildings. We already did the first closing on the 31st August. And there is two more closings to come this year, one will be soon now in the beginning of the second quarter, and one will be after we deliver the last building in Magdeburg. And that's foreseen for the end of the third quarter, beginning of the fourth quarter of this year. And they are at prefixed prices. We agreed on the price for the full joint venture portfolio that's on Deka. And then we also have a new partnership with Areim, and Areim is a new one which we just signed before new year. We are currently working at our first closing and the target assets are earmarked in Germany, Czech Republic, France, Slovakia, and Hungary. So it's a little bit a follow-up of what we had with Allianz in our first joint venture, or what we have with Allianz in our first joint venture, but it's larger with France. This joint venture targets initially a €1.5 billion gross asset value, with an LTV of 35%. It's got a complete similar structure to the Allianz JVs and also, in fact to the Deka JV. The seed portfolio transaction is set to transition in the first half, I think April it is due, and it comprise of developed properties in Germany, Czech Republic, and Slovakia in the first seed closing, for which the price is also agreed. The total gross asset value will be over €400 million, and it should result in gross cash proceeds of more than €275 million. And both partners have expressed a lot of appetite to do more. So this is an ongoing process and we're very happy to work together with them so far. We shift all the time. So I give back the word to Martijn, but before I do so, I want to explain something on the picture. VGP is not only just about developing buildings and business. It's also very much about creating value for the future generations. And we not only have our foundation, through which we have invested a lot of money over the past years in social projects, in nature preservation projects, and also in historical things which are linked to our European history. But we also do, inside of EGP, a lot of biodiversity activity itself around our projects. And the picture you are seeing is part of a 24 hectare biotope which we created in next to our park which you can visit if you want to, if you go to the real estate event in October where you can walk through and which is completely documented with what life you can find there both fauna and flora. And we're very proud of it. So that's one of the pictures. And I'll give you after the small intermezzo back to Martijn.
Martijn Vlutters: Last time when we discussed the ESG update there was an introduction of the new strategy that we introduced as part of the Annual Report '22. This time there's just a number of key updates that we will also expand on in the publication of our '23 Annual Report. Here are just some of the highlights. I think one of the key points is also building on what Jan said earlier around the joint ventures is that in addition to the cash recycling benefit from the joint ventures, I think one thing that is underappreciated of this model is that, we're also continuously required to be up to date on the latest requirements in respect of what ESG standards our buildings need to comply with. And that goes way above and beyond just simply photovoltaic. It's the fact that we've switched to our air heat pumps. It's the fact that we are completely managing our CRREM not just on the portfolio level but also on the asset level that we have a pathway for our portfolio and individual buildings to get to CRREM compliance. These are integral part of the ESG due diligence that is being done as part of the acquisitions and as part of the asset management that we do together with our joint venture partners. And it helps us to continuously flex the muscles and make sure that we are up to date with the latest. And Jan mentioned earlier the fact that we are a truly European company and with that we also want to be early adapters of the EU taxonomy. We have the first four buildings that have been approved for compliance which is around 4% of our gross asset value. There's another 15 that are currently being reviewed. If you look at the Green Bonds allocation you see in the bottom of the middle of the page in total we have €1.6 billion of Green Bonds outstanding. We have invested now over €100 million in photovoltaic projects. In addition there's around €50 million that has been invested in other efficiency measures in our buildings. And combined with buildings that are BREEAM Excellent DGNB Gold or better we're able to fully allocate our bonds. So we don't actually need the BREEAM Very Good buildings that we have also which is the typical market standard in the industry is to use BREEAM Very Good as the minimum. But we've actually this year been able to up the ante if you will to BREEAM Excellent. Then on the social aspect within the group we've launched last year the VGP Academy. That's above and beyond just ESG. It's also to help with broader education around technical standards around commercial aspects. We have our next training actually within the group tomorrow. So yes there's a lot of various initiatives. For a broad review I would refer to the Annual Report which we will publish in May. For now if there's further questions we'll come back on that later, but I'd like to hand it over to Piet for the financial performance.
Piet Van Geet: Thank you, Martijn. As always I've prepared a set of slides that will walk you through our P&L balance sheet cash flow and an overview of our debts. No financial bridges in my presentation as they have all been included already in the one from Jan. But if I start maybe with the P&L, I'm of course as already reported very happy to share that we have €87.3 million net profit which is €210 million higher than what we had last year. Of course as you will have heard in the first part of the presentation a lot has transpired in 2023 which obviously has an effect on our P&L on many lines. So I'm going to walk you through going from the top to bottom and share some additional information across these numbers. But let me start with the net rental and renewable energy income that increased from €43 million to €63.5 million and obviously exists out of the two components are gross rental income which went up 43% and our renewable energy income which Martijn already explained to [indiscernible]. I think I would like to maybe share a bit on the rental income is we have a total €350.8 million contracted annualized rental income. From that €125 million is fully owned 100% by VGP. From that €125 million, €80.8 million is active meaning the space has been handed over to the tenant and its cash-generative. Another €40 million -- good €40 million is due to become active in the next years of which the majority is in fact in the next 12 months. As we have now €64.6 million that compares to the €80.8 million I've just mentioned. So, you see that we are still catching up on our rental income -- our annualized rental income because we also obviously have deliveries throughout the year, but it will continuously increase in the next year with the new deliveries. But of course we will also offload a significant amount of rental income to the joint ventures on the closings on which we have already agreed upon and that will be over €40 million of rental income. So, I think on the own portfolio we expect somewhat above around €40 million of lease income to be activated, but we will also offload obviously to the joint venture in the next 12 months. I think on the renewable energy income the second component in this net rental and renewable energy income. Martijn already explained that our revenue was €5.9 million in the last year and it's now €4.4 million as a result of higher production on the one hand let's say a volume effect, but a price effect due to a lower energy price of €94 per megawatt peak versus €230 in the year before. If I go one line further down in our P&L, we come to the joint venture management fee income. As Jan has said before this is recurring income, which is continuously increasing because it contains two elements; one is a recurring asset management fee and as we do all of the work for the joint ventures in managing the assets -- the property management, the facility management, we charge a fee for this. As the joint ventures have grown, this fee has grown. So, it has grown from €18 million with €4.5 million to €22.5 million. And the second part of the joint venture management fee income is that we also obtain a fee to execute certain development works inside of the joint ventures on request of tenants who want a nicer office or whatsoever or an additional office space or whatever. That has increased with €900,000 to €4.4 million. Again we expect this to increase further because you will have the annualized effect of all of the transitions we have done in 2023 in 2024. Plus we will do new offloadings or closings with the joint venture in 2024 which will also increase our asset management fee again. The next line is the net valuation gains on our investment properties. As you see this is a substantial reversal of what we've had in 2022 where we had a loss of €97 million and now we have a gain of €87.9 million. This is also again composed out of numerous elements. One is we have an unrealized gain of €29 million and we have a realized gain of €59 million. The unrealized gain of €29 million in fact is composed of a negative revaluation of our own portfolio on a like-for-like basis end of 2022 to end of 2023, but is overcompensated by our development margin and as such we come to a net unrealized gain of €29 million. I think what is particularly important to mention is the realized gain of €59 million. We have done in fact three effective transactions during the year and we have agreed with Areim on a new closing for 2024 and one of those three, Deka, had a closing in 2023 with also other closings in 2024. And all of those the pricing has been agreed in 2023. And in all of those we have been able to dispose our assets or we will dispose our assets at the premium versus the fair value in our books at the end of 2022. That means and has resulted in a realized gain of €59 million and it counts for all transactions individually that we have done over the year. The weighted average yield of our own portfolio now including those assets that are destined to go to the joint ventures Deka and Areim in 2024 is valued at an average yield of 6.22% which is up from 5.29%. Of course, there are also mix effects playing here as we also have a bit more Eastern European assets on our own balance sheet. I come to the next slide, and I've split it here in two. I've taken a part of the P&L on the top right. And I've made some detail on, the lion of the share of net profits of the joint ventures on the bottom right. But let me start first with the Administration Expenses which went up from €34 million to €48.9 million. Again, there are some peculiar effects playing here. As you are aware, we have a long-term incentive plan for our employees in VGP which had a reversal in 2022, because it is linked to the net asset value growth of VGP and it had a reversal of €4 million in 2022. But it had an expense as we also had a net asset value growth in 2023 of €5.5 million. So that makes a delta of €9.5 million of the total €14.9 million, increase in the administration expenses. Other effects that are playing here is we had more Depreciation. So we have our renewable energy assets. They are at cost. On our balance sheet and are depreciated. So that's €1.5 million. And I think other effects are some increases in general expenses, as well as less activation of development fees in comparison to previous year €5.5 million. We also have 17.5 less FTEs than what we had in last year. So we ended the year with a total FTE of 368. That brings me to the next point and for that I've tried to make a small detail to give some more context on this one line in our P&L, which is the share of net profit from joint ventures and associates which was a loss of €45.9 million in 2022 and is now a €10.7 million loss, so it improved by €35.2 million. But you can see on the bottom, the proportional P&L income of all of our joint ventures. Meaning, this is the P&L of the joint ventures at share. And what you can see is that, the joint ventures in fact have a very good operational result. Before evaluation in 2022, it was €62.8 million and it's now €89.7 million. So it increased with 43%. The total weighted average yield of our JV portfolios is now 5% versus 4.68%. And as you will see the net valuation gains indeed, contain a loss for this year. It's lower than what it was last year. I think the main effects that we have seen in the like-for-like revaluation, on that I mean, assets which were already in the joint ventures at the end of 2022 and which are still in the joint ventures at the end of 2023. We have seen a like-for-like revaluation of minus 3%. And I think mainly the countries like Germany, the Netherlands and Austria were here most outspoken. That brings me to the next line in our P&L. The other expenses they are zero whereas there was €3 million expense last year. That was a donation to the UNHCR, which we did to support the refugee crisis as a result of the Ukrainian conflict. And then, we come to our net financial result which improved from €27 million to €6 million expense so €21 million improvement. This is very easily explained, we repaid €375 million of bonds in 2023, so we had less interest expense. On the other hand we had throughout the year cash on account, on which we receive an interest that amounted to €6 million. And we received more interest income from JVs, because we have more assets in JVs, higher shareholder loans towards JVs and that created also an additional financial income. So that brings actually bottom-line our result to €87.3 million after taxes. And it's maybe also noteworthy to mention that the holding company of VGP, so the VGP NV, the Belgian legal entity had a net profit of €274.8 million and now has an equity even taking into account the dividend of €101 million, as explained before an equity of €1.5 billion. I think that's it for the P&L. I'm happy to share now also some insights on the balance sheet. So our balance sheet total is now €4.4 billion. What you obviously can see is big movements are on the investment properties. We went from €2.4 billion to €1.5 billion. It's not that we did not do any CapEx or growth, but of course we offloaded quite some assets already into joint ventures or moved them to the disposal group held for sale, which you can see increased from €300 million to €892.6 million. Our total completed portfolio including what is booked under the held for sale amounts to €1.1 billion. Under construction is €0.5 billion and €544 million and development land €687 million. We had a total CapEx including our held for sale of €715 million. This is the growth of the acquisition value. And the assets that are recognized as held for sale have been valued here on our balance sheet on the agreed transfer price between us and the joint ventures; in fact the Deka joint venture and Areim joint venture. The next line I think is the property plant and equipment that went up. That's mainly as a result of our investments in the renewable energy of €32.9 million. It includes now €64.3 million of completed installations in the renewable energy and another €31.3 million of assets under construction. That's the main movement here. Investments in joint venture and associates went significantly up from €891 million to €1,037 million. That is because we did quite some transactions with joint ventures. So we have the increase as a result of our equity stake in those joint ventures, which amounts to €165 million. But we also had equity repayments from the first joint venture Rheingold and on development joint venture of Grekon, all-in total of €six million and €3.5 million. And then the last remaining difference is of course the share in the result of the joint ventures of €10.7 million as I explained on the previous slide. As a consequence also our other noncurrent receivables went significantly up from €360 million to €566 million. That is in first place because we have now the Deka joint venture in place where we have now shareholder loans towards the Deka joint venture of €172.5 million. The LPM joint venture, which has a total receivable of €134 million at year end has been sold in the meantime in February as explained before, but there we invested in 2023 still €62 million so that was also quite a big growth of this receivable. And then I think all the other joint ventures the Rheingold, Aurora and Ymir they had a net increase of €28 million, which is a mix of the transactions that we did with the first and second joint venture with Rheingold and Aurora in the first half of the year and repayments that we received as deductions of shareholder loans towards the joint ventures basically profit distributions. I will come back on that also in the cash flow statement. I think on trade and other receivables we've seen a bit of a decline but that is mainly related to VAT claims or disposals to the joint ventures where these receivables move to the joint ventures and we end the year with a cash position of €210 million, which can be noted that we did not tap any of our revolving credit facilities of €400 million, and which we always have immediately available. That's it for the assets. If we have a look on the shareholders equity and liability side of the balance sheet, on the equity side we did not do any equity raise. We also did not raise any new debt. We concluded new credit facility but we did not raise any new debt. So that means the shareholders' equity is more or less stable as we paid out a dividend of €75 million and we have a net profit of €87.3 million. In terms of the non-current and current financial debt, we repaid €375 million of bonds. So these were booked on current financial debt at the end of 2022. And on the other hand we moved from non-current financial debt to current financial debt now the €75 million bond which we need to repay in July. By repayment of the €375 million of the bonds our average cost of debt also lowered to 2.1% as the higher interest bonds we are now first repaying and the lower interest bonds are more on the long-term. We concluded a new credit facility with European Investment Bank to refinance and finance our renewable energy activities of €150 million. We have drawn this facility for €135 million in February and that is at a fixed interest rate of 4.15% over a 10-year period. So that leads up to the fact that now our consolidated gearing from a balance sheet is 40.3% and that we have a pro forma proportional LTV of 47.3% taking into account of course the offloadings that we will do with Areim, Deka and also the new credit facility of the EIB and the divestment of LPM. I'll come back on it on the next slide. So the average cost of debt I think I mainly said this. You can see that we went from over to I think 2.44% at the end of last year now at 2.1%.We have €400 million unutilized credit facility a new one of €150 million drawn for €135 million and only one bond of €75 million coming to maturity in 2024. Cash flow wise that's always an interesting to see or summarize the year. We started the year with almost €700 million of cash. Net cash generated from operating activities is €27.3 million negative. It's actually very easy to reconcile this amount. We start with the net renewable energy income of €63.5 million, the joint venture income of €27 million, the admin expenses excluding the depreciation part of it is €41 million and then your change in working capital and your interest expense is together at €75 million. That brings you down to €27.3 million. So you can easily derive this from the balance sheet and P&L. We had a net cash used in investing activities of €8.1 million. It's not that we didn't spend any CapEx. The effective CapEx spent so meaning really paid was €667 million. But it was overcompensated with the proceeds that we had from our disposals to the joint ventures and which were three transactions Rheingold X, Aurora IV and the Deka I in August that amounted to €676.2 million which is a record ever in comparison to our whole track record with the joint ventures. Finally, we've also given loans to joint ventures of about €99 million. I already touched upon that amongst others this is the LPM €62 million that we loaned there. I think there was also €12 million that went to our Park in Munich and the rest went to other joint ventures to facilitate ongoing construction works that was ongoing there. And then distributions by the joint ventures were €82 million up from €60 million in last year. These include -- that's a mixture of equity repayments shareholder repayments interest income that we have. But we all consider this as sort of profit distribution that comes out of the joint ventures and it includes a repayment to shareholders in VGP Park Munich of €43 million. So €43 million to both shareholders to Allianz and us as we refinanced that entity in 2023 or we drew down in a credit facility in 2023 of €85 million and we paid it out to the shareholders or we refinanced the shareholder loans. I think in the net cash used in financing activities it's very easy to summarize. We paid a dividend of €75 million and repaid bonds of €375 million. That leads up to a cash flow of the period of €485 million spent and that lowers our cash to €210 million at year end. This shows once more the maturity profile of our debts outstanding at the end of 2023, where you see we have bonds in 2024, 2025 and 2026 and then we have a dual tranche bond which we issued in January 2022 at 1.6% and 2.2%, which was a dual tranche on five and eight years and therefore it's in 2027 and 2030 to be repaid. And then our first green bond that we issued the €600 million comes to maturity and is at 1.5% comes to maturity at 2029. In terms of our covenants, I would say we are all very safe. So gearing ratio is 40.9%, according to the full calculation of the bond documentation. Interest cover ratio is 13.4. Also debt service cover ratio is above the 1.2. If you ask why is it a bit lower than last year? That is because we repaid fully the bonds of €375 million but it's still well above its covenant. If you ask me what would be the LTV? So I think you need to always make the distinction that the balance sheet of VGP in essence also contains a large development activities inside the growth, activities disposals to JVs. Whereas in the JVs, we have stabilized assets with a certain LTV. If you look at those joint ventures alone, there we have an LTV on an average basis of 34.4%, whereas the JV1 and JV2 have debts that are amortizing and had an initial higher LTV target than what we for instance conclude with Deka which is now at 22.8%. But there the debt is not yet fully drawn because we still need to do some transactions in 2024. But it targets an LTV of 30% and it's not amortizing but it's a bullet. So for the entire group we consider the pro forma proportional so meaning VGP as 100% and the joint ventures at their share. Altogether, we have a pro forma LTV of 47.3% as I already explained before. I think this was my last slide. So I will give back the word to Jan to summarize everything.
Jan Van Geet: Thank you Piet. So summary, and before we go to the questions, we are always [indiscernible] stands on many legs. So one is the rental income which is growing every year exponentially, one is the asset management fees which are growing exponentially. We expect more than €30 million this year. But our main driver is of course our development going forward. And for that you need a prime land bank. We have a prime land bank. And we acquired really very nice we did very nice acquisitions that we believe which formed the foundation of very nice profits going forward because it's always about you buy it more than how you sell it. We expect to activate another €41.3 million of annualized rental income at least that's what we know already today, which supports a further substantial growth in the net rental income. We ensured a lot of continuous cash recycling with the new joint ventures going forward. A minimum of €525 million of gross cash proceeds. That's the ones which are already agreed today which we are going to do. And that's based on commitments on firm commitments from our new joint venture partners in the 5th and 6th joint venture for which we also have now the financing part in place. We will repay one bond of €75 million that comes to maturity in 2024. We have more than enough available cash. And we agreed a €170 million divestment of our LPM joint venture in February 2024. I explained the rationale behind it before and it generated one-off gain and a significant amount of cash. It was not included in the year end numbers because we didn't know at the year-end whether this transaction would take place. It's gone very fast so you will see it in the 36 [ph] numbers and it was not included in the year-end closing. The minimum expected gross cash proceeds excluding recurrent income for 2024 stand therefore at €830 million. So that covers all of our planned CapExes and our dividend and our repayment of the bond without a problem. We should have around €400 million cash at the year end. And that's including the €135 million drawdown of the new credit facility of the European Investment Bank. And as I said, this covers all of our outstanding commitments in our property and renewable energy developments in the land acquisition which we plan in debt repayments and in the dividend for 2024. So all in all, we are very confident. We've put solid foundations in place. We have a good model we think. We have good partners which we are very happy for. And our team is extremely motivated. They handed in a KPI plan for this year, which make us a little bit dizzy but it's okay. And I'm speaking to them because there are many of them also on the – thank you for your trust in our company and we're going to make together 2024 again, a good year, I'm sure of it. So, I guess it's time for question and answers. Martijn?
Martijn Vlutters: For the analysts on the landline, as you raise your hand to ask questions, please just be reminded that we would like to limit it to one question per analyst to give you all a chance to ask a question and also in the interest of time, but handing it over to the operator to manage.
Operator: Thank you. [Operator Instructions] And the first question today comes from Frederic Renard of Kepler Cheuvreux.
Q – Frederic Renard : Hi, good morning. So, yes I had a few questions, but I will limit myself to one then. You mentioned a flying start in the start of the year. Can you give more color on that? And how much do you think you can start construction this year?
Jan Van Geet: Hello, Frederic, yes, I will answer the question. So we are due to sign a very large lease agreement today. It's not signed yet, but we are all under big tension to see it happen. Already two of the three people signed so, there is a third one, that would bring the CARA [ph] this year already to almost to more than €16 million already now. And we have many leads in the portfolio. So, it's really had a very good flying start. We are only in the second month, and we are planning the target is a wee bit more ambitious than what I'm going to say, but we are confident that we will start up at least 600,000 square meters, and we hope we will do quite a bit more this year, in new developments. We want to keep our pre-let ratio in a reasonable amount, and we will monitor very much the market where it goes to. But from what we get back as a feedback and from all the discussions we are together in, we think that we have some very big lease agreements in which we are very far, which are new leases which we need to start up. So we believe that we're going to have operationally wise in the development part, we stand in front of a very dynamic year. Thank you. 
Operator: The next question comes from Inna Maslova of DeGroof Petercam. 
Inna Maslova: Hi, good morning. Thank you very much for the presentation. Just a question regarding the joint ventures, how you see the future evolution of the joint venture development. I appreciate the fact that you mentioned that both Areim and Deka are very keen partners to continue extending the existing joint ventures. But I'm more interested in your strategy, on whether you would be looking at potentially adding new joint venture parties, and also in relation to the VGP Park in Russelsheim, if you would prefer to consider existing joint venture partners or potentially looking for somebody outside of that? Thank you. 
Jan Van Geet: Thank you for your question. We are very loyal people, so in the first place, we would like to work with the people we already know. It makes it easier also. We plan to hire another 40 new people inside of our organization this year, and that's also a lot because of all the transactions which you are planning to do and for we need extra manpower. And it's always easier, if you do that with people who you already know and what to expect from and hence, going forward. And they have both expressed a very big interest in doing more together with VGP. I can say that confidentially, I'm sure they are looking at this also. But we have had discussions, with both of them which were going in the future expressing a lot of interest to do more together with us. This being said, we are thinking of many variants on the sort. We won't change our business model. We think it works very well. So, it's our preferred route. But we have shown I think in the past that we can be very flexible, in adapting ourselves to market conditions, if they would change. But as far as the market conditions don't change from what we know today, I think we -- and I speak now for myself, but I think we feel comfortable to continue with our three joint venture partners because Allianz is also still doing. We are planning a new building in Munich in our thing, we are planning a new closing in the Aurora. So we're still active also there. So with our three joint venture partners we feel confident that we can continue going on and we will adapt if necessary. Thank you for the question.
Operator: The next question comes from Pieter Runneboom of Van Lanschot Kempen.
Pieter Runneboom: Hi, team. Thanks for taking my question. Thinking about the German industrial production, which again post negative numbers. Is this something that worries you or that's visible in your leasing numbers?
Jan Van Geet: That's a good question. I think in Europe, we really need to think about what we are going to do and whether industry is still welcome yes or no. That's a good thing to think about. But for us we think it's an opportunity. If we look at today's market, we see there is some iconic land plots, which come available and we need to be aware that green land is the longer the lesser. And I am a very big believer in our European capacity of coming back. So we see in the first place the opportunities, it creates by people who really have to think about their footprint and their effectivity of their operations and whether they can keep on operating as they did until mean my colleague bought Vallourec in the Ruhrgebiet. If you looked at that plant it's so old it's incredible. So it's I think a necessity that it gets rejuveniled and that there is new activity coming inside. And the same goes partly for the Opel site in Russelsheim where we are effectively also speaking to Opel to do something new for them, something really completely passive buildings and things which are good for the future. So they are not only just divesting and streamlining their operations. They're also working on their future, and to make it better to make it more effective. And that's exactly the reflection we need. Of course, it's a concern, but we see for the time being more opportunities than worries coming out of this for us. Thank you.
Operator: The next question comes from Marios Pastou of Societe Generale.
Marios Pastou : Hi, good morning. Thank you for taking my question. I appreciate you've mentioned quite a few times now that you've pre-agreed the pricing on the remaining properties set to transfer into the Deka JV this year plus with appetite to do more within that JV maybe with some future agreements. Just thinking given Deka's fund outflows in the fourth quarter of last year. Do they remain fully committed to the remaining transactions under the initial JV agreement to come this year? And are you foreseeing any potential risk there that these might fall away? Thank you.
Jan Van Geet: I'm 100% convinced that we will close these things. We speak to each other every day. These are contractual commitments. Also the price is a contractual commitment. I don't see why and how they would get out and notwithstanding the fact that the cooperation goes extremely well. So no there is no single hair on my head that doubts that there is a problem coming on that. Thank you.
Operator: The next question comes from Pierre-Emmanuel Clouard of Jefferies. Please go ahead. Pierre-Emmanuel, perhaps your line is muted. We'll move on to Gerardo Ibanez Herrero of ABN AMRO - ODDO BHF. Please go ahead.
Gerardo Ibanez Herrero: Hello. Thank you for taking my question. My question is more related on development margins. So maybe could you perhaps provide some color on development margins going forward? And maybe if you can give us your expectations for the blended yield on cost development to be delivered in 2024? And in this line do you expect an uplift on development margins as you start delivering more assets with less concentration in Germany? 
Jan Van Geet: Thank you for your question. First of all, I'm a very strong believer in Germany still, so I don't think it would make any difference in our margin where we develop it. We always go very pragmatic from side to side, and we take into account the difference between yields what the market says it's worth and what our initial cost inputs and rental prices are. So we try to have a very homogeneous margin through all the countries where we are working in. That's the first thing. Secondly, the construction price is coming down tremendously. We are everywhere where we are active today with a very few exceptions. We are constructing all of our buildings ourselves so we have a good control over what we are doing and how we are developing it. We have a very big focus on it. We are also trying to go more and more into new materials wooden constructions et cetera and we feel we see that we can make nice return on our investments again which was impossible in 2022. If you would just go and build speculatively, you would have to count with very high rental prices, which I have always said in my opinion is not sustainable. The rental prices evaluation which we have seen was just crazy like also the inflation, which we have seen throughout the construction costs. But with what we are coming today on the market with our new buildings, we have agreed fair prices and we have agreed -- we are going to make a very nice return on our cost. And we think that our margin is going to go back to the normal levels which we had before. So we're very confident on that.
Gerardo Ibanez Herrero: Thank you.
Operator: Our next question comes from Paul May of Barclays.
Paul May: Hi. Everyone. Thanks for your time. Just very quick one on the disposals to the new JVs. I doubt you'll give some yields that have been agreed on those disposals. So to ask another question, the profit that you got on disposals to JVs that you highlighted is that because values at year end 2022 were valued as a development and you obviously sold those as investment property. So it's more development profit that you've generated rather than value increases just from a like-for-like basis. Is that fair to say? Thanks.
Jan Van Geet: Our properties whether it's land under development or investment or completed assets, they are always valued at a fair value at every single time. And it's the €59 million where you're referring to is indeed mainly the difference between what it was valued at the end of 2022 and what it was transacted for in 2023 to the JVs.
Operator: And that is all the time we have for questions. I would like to turn the call back to Mr. Van Geet for any additional or closing remarks.
Jan Van Geet: Well, those who stayed on their hunger and would like to ask some more questions we are always available for a follow-up call later today or tomorrow. I want to thank you all for being present here. I think you can see it from my face that we are confident, all three of us. We have a very good team in place. It's all about people always doing business. We have fought for some very nice new opportunities. We feel confident that the European market despite everything you read in the newspapers is going to rebound and is doing a good job actually. There is a lot of people who also want to invest in the long-term and we are helping them with that. And looking forward, we are very ambitious and we are in a comfortable position today financially wise which we know that we are going to get in -- that we already recycled €300 million now in the first two months, we already received €300 million cash in from the European Investment Bank and from the divestment of LPM. So we are in a very good liquidity position also to react on new transactions. And I just want to remind you one time because there is a lot of things written about it, which we don't mind too much about, but I want to remind you and to our investors I'm speaking, when we did the capital raise in 2022, we wrote in our prospectus what we were going to use the money for. And I know many analysts have written a lot of things about it, but look what we have done. I think we have exactly executed. We said we saw new opportunities in the market which we were going to do. We said we had new joint venture partners which we're going to close with. And we all delivered in 2023 all of that. We bought Russelsheim. We bought Velizy. We bought Mulhouse. We bought Vejle. We bought other things. And we have signed €69 million of new rental income. It's 900,000 square meters of new square meters which we are now constructing. And we have new joint venture partners which we are very happy with and which have declared interest in doing a lot more with us. So I think that so far, we are going to plan and our plan is to continue to do this in the future. And we're confident that we have all the ingredients now aligned people, money propositions to make for our customers to do that. And that's I think the summary of 2023 and the lookout for 2024. Thank you for being here.
Martijn Vlutters: Thank you very much. Answer
Jan Van Geet: Bye-bye.
Operator: And that does conclude the review of VGP's financial results of the full year 2023. We thank you all for your participation and you may now disconnect.